Operator: Good day and thank you for standing by. Welcome to the Great Elm Group, Inc. Q4 2021 Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, [Operator Instructions]. Please be advised that today's conference is being recorded. If you require any further assistance, [Operator Instructions]. I would now like to hand the conference over to a representative of the company. Please go ahead.
Company Representative: Thank you so much. And good morning, everyone. Thank you for joining us for Great Elm Group's fiscal fourth quarter and year-end 2021 Earnings Conference Call. As a reminder, this conference call is being recorded on Tuesday, September 21st, 2021. If you would like to be added to our distribution list, you can email investorrelations@greatelmcap.com, or you can sign up for alerts directly on our website at www. greatelmgroup.com. A slide presentation accompanying today's conference call and webcast can be found on our website under Events and Presentation. While we will not be directly referring to the slides themselves, our comments today will generally follow the form and structure of the presentation. A link to the webcast will also be available on our website, as well as, in the press release that was disseminated to announce the Quarterly results this morning. For those who may not be familiar with Great Elm Group. I'll take a brief moment to review the company's general structure and strategy. Great Elm is a holding company, and our objective is to create shareholder value to the collective efforts of driving our two verticals, operating companies and investment management, each of which employ a distinct strategy. In operating companies, we currently manage Great Elm durable medical equipment, or DME, a distributor of respiratory care equipment and fleet study services. In investment management, we seek to increase the assets under management both in Great Elm Capital Corp, the publicly traded BDC. And in other investment vehicles managed by Great Elm Capital Management or GECM. I would like to call your attention to the customary Safe Harbor Statement regarding forward-looking information. Also, please note that nothing in today's call constitutes an offer to sell or a solicitation of offers to purchase our securities. Today's conference call includes forward-looking statements and projections and we ask that you refer to Great Elm Group 's filings with the SEC for important factors that could cause actual results to differ materially from those projections. Great Elm Group does not undertake to update its forward-looking statements unless required by law. To obtain copies of SEC filings, please visit Great Elm Group 's website under "Financial Information" and select SEC filings. With that, hosting the call today is Mr. Peter Reed, Great Elm Group 's Chief Executive Officer. Please go ahead, Pete.
Peter Reed: Welcome everyone, and thank you for joining us today. I am joined this morning by our President and COO, Adam Kleinman, and our CFO, Brent Pearson. Over the course of fiscal 2021, we made considerable progress for GEG and our shareholders. Our DME business grew through difficult pandemic conditions and is poised for further growth thanks to 2 acquisitions that have been completed in calendar 2021. Similarly, our investment management segment has benefited from 2 capital raises that GECC completed in FY 21. Additionally, yesterday, GECC issued another 13.25 million of equity at net asset value in connection with its acquisition of lenders' funding. Taken together, these transactions should drive increased fee revenue at GECM. Finally, we have dramatically simplified our corporate structure. As a result of 2 different transactions. Our consolidated balance sheet has 57 million less debt on it, and our corporate structure has less complexity. We completed a transformative financing with JPMorgan. This transaction resulted in a $5 million distribution to GET, as well as lowered DMEs cost of capital and provided it with funds for future acquisitions. After a period of investment into enhancing its scalability, DME used the incremental growth capital from the JP Morgan transaction and completed 2 acquisitions. On the investment management side, we completed several transactions that recapitalized in better position GECC for growth. We successfully raised 31.7 million in a rights offering at GECC, increasing it's investable assets. We also closed a new 3-year $25 million revolving credit facility at GECC. And in June and in July of 2021, GECC issued $57 million of senior notes due 2026 that bear interest at a rate of 5.875% per year. GECC subsequently used the proceeds of this offering, to redeem at 6.5% notes due 2022, resulting in $24 million of incremental liquidity. GECC also continued its portfolio rotation with a focus on proprietary investments and specialty finance. In the aggregate, all of these initiatives have helped to leave GECC with financial flexibility to both expand its portfolio, as well as open new potential areas for growth. We also launched G Soft, a private investment vehicle with a focus on investments in special purpose acquisition companies. We invested $10 million in G soft to help seed this vehicle, which we hope will contribute to increased assets under management for the investment management business and help drive additional fee revenue. Finally, we dramatically simplified our corporate structure through the sale of our Fort Myers real estate investment and the cleanup transactions at GECC GP Corp. As a result of these efforts, our consolidated balance sheet has $57 million less debt on it. In the fiscal fourth quarter, GEG sold it's entire ownership interest in 2 Class A office buildings located in Fort Myers, Florida, to an affiliate of Monomoy Properties, LLC, a privately-held industrial properties focus reap, for a cash payment of $4.6 million. The proceeds were then reinvested in dividend paying Monomoy shares. This transaction represented a solid return on investment as GEG originally acquired these properties in 2008 for $2.7 million. It also diversified our real estate holdings from a single asset to interest in a diversified industrial properties root portfolio which generates cash flow through ongoing dividend payments. In summary, we've had a productive and busy year at GEG. Looking ahead, we believe there are compelling opportunities on the DME side, as the industry continues to consolidate. In investment management, we're making strong progress in increasing assets under management and revenues. During the year, our investment management business benefited greatly from the execution of the shared service agreement with Imperial Capital, providing both the depth and -- improving both the depth and experience of our investment team. Together with our corporate structure simplification efforts, we've made considerable progress in positioning the company for strategic growth opportunities. With that, I will turn it over to Brent to discuss our financial results for the quarter and full year in more detail, and then I'll return for a few closing remarks.
Brent Pearson: Thanks, Pete. I'll provide a brief overview and of course, welcome all of you to review our filings in greater detail or reach out to our team with any questions you may have. During the quarter ended June 30th, 2021, we reported consolidated revenue of 16.3 million, a net loss from continuing operations of 1.4 million, and adjusted EBITDA of 3.5 million. For the same period last year, we reported consolidated revenue of 14.7 million, net income from continuing operations of 4.1 million, and adjusted EBITDA of 5.9 million. These amounts do not include the contributions of our real estate business, which was sold on June 23, 2021 and previously reported financial information has been recast to reflect the real estate business as discontinued operations. As a result, we no longer report real estate as a separate segment of continuing operations. Great Elm reports the results of each of our two operating segments, including durable medical equipment and investment management, as well as unallocated general corporate activity. We'll begin the review with durable medical equipment. For the fiscal fourth quarter, DME generated 15.4 million in revenue compared to 13.9 million last year. The increase in revenues was due to organic growth in resupply sales and contributions from AM - PM add-on acquisition. The demand for sleep studies was soft due to the ongoing impacts from COVID-19 pandemic. And referrals for new equipment setups remain depressed as they are generally driven by in-house or external sleep studies. Although there are positive signs of recovering demand for sleep studies and for equipment setups heading into our next fiscal year, late in the fiscal fourth quarter, Philips Respironics announced a voluntary recall of certain C-PAP and ventilator products. Our DME business has sufficient on hand inventory stores in C-PAP and ventilator equipment to meet demand in the near term. However, the magnitude and duration of the current supply chain issues are unknown at this time. We continue to work closely with our suppliers while we navigate these industry challenges. That being said, we remain opportunistic on the acquisition front as the industry continues to consolidate. For the year ended June 30th, 2021, Great Elm DME s operations recognized a 3.6% increase in total revenue, increasing to 57.6 million compared to 55.7 million in the prior year. The increase in total revenue was due primarily to the AMF PM acquisition and organic growth in resupply sales. Great Elm DME 's operations reported net income of 5.9 million in comparison to 2.8 million in the prior period. Net income increased largely due to a $5.5 million benefit related to a fair value adjustment on an embedded derivative that was bifurcated from our Series A2 preferred stock. This preferred stock was issued to Forest Investments, Inc, our majority owned subsidiary and therefore, the income recognized on this adjustment has an offsetting charge to general corporate and eliminate some consolidation. Also contributing to net income was 2.4 million of stimulus in the form of refundable employee retention payroll tax credits that were claimed during our fiscal fourth quarter, 2021. This compares to 5.1 million of CARES Act stimulus received in the comparable prior year period. GME reported a net loss of 2.5 million for the year ended June 30th, 2021, compared to a net loss of 0.1 million in the prior year. In the current year, we recorded a non-recurring charge of 1.9 million related to the extinguishment of DME 's term loan in December, which lowered its cost of capital and provided DME with additional capital for acquisition opportunities. Also impacting this comparison is 4.6 million of employee retention credits recognized in fiscal 2021 versus 5.1 million in Cares Act stimulus recognized for the fiscal year 2020. Adjusted EBITDA, a non-GAAP measure was 4.3 million in the fiscal 2021, fourth quarter compared to 7.0 million in the prior period. Adjusted EBITDA was 12.4 million for the year ended June 30th, 2021, compared to 16.0 million in the prior year. Next, turning to investment management. For the fiscal fourth quarter, Investment Management generated 0.9 million in revenue compared to 0.7 million during the same period in the prior year. Revenue was slightly higher due to increases in the average assets on which such fees are calculated. Great Elm 's investment management business recognized 3.2 million in revenue for the year ended June 30th, 2021, compared to 3.3 million in the prior year. Investment Management reported net income of 1.3 million in comparison to 3.4 million in the prior year period. The increase was primarily due to an unrealized gain on managed investments of 1.0 million as compared to a gain of 2.9 million in the comparable quarter of the prior year. For the year, investment management recognized net income of 2.7 million as compared to a net loss of 6.2 million in fiscal 2020. The improvement is primarily related to 0.7 million in unrealized gains on managed investments in the current year versus 8.7 million in unrealized losses in fiscal year 2020. Before discussing the EBITDA, I wanted to highlight that beginning with the current quarter, we have made certain changes to segment presentation as it relates to the activity of our managed investments. Primarily our investment in GECC and in G SaaS. Non-operating activity related to these managed investments, including dividend income and unrealized gains, losses, are now presented as investment management activity, whereas previously they were presented within general corporate. We believe this presentation provides a better view into the performance of the segment. As such, previously reported financial information has been reclassified to conform to this presentation. Adjusted EBITDA was 100,000 in fiscal 2021 fourth quarter, compared to 200,000 during the same period in the prior year. Adjusted EBITDA was impacted in the current quarter, primarily by increased professional fees and employee-related costs related to growth initiatives. Adjusted EBITDA was 400,000 for the year ended June 30th, 2021, compared to 1.2 million during the prior year. Again, driven by cost related growth initiatives. Moving on to our general corporate segment. For the fiscal fourth quarter, Great Elm 's general corporate segment recognized 0.3 million in revenue compared to $45,000 in revenue during the same period in the prior year. In the year ended June 30, 2021, the general corporate segment recognized 0.6 million in revenue compared to 0.2 million in the prior year. Revenue increased as a result of increased management fees earned from DME, along with management fees earned from Forest under a new management agreement put into place in connection with the JPMorgan transactions in December of 2020. For the quarter, general corporate reported a net loss of 8.6 million as compared to a net loss of 2.1 million for our fourth fiscal quarter last year. This comparison is primarily impacted by the embedded derivative charge of 5.5 million in the current quarter. For the year, the general corporate had a net loss of 9.6 million in fiscal 2021 versus a net loss of 7.1 million in fiscal 2020. Activity impacting this comparison includes 700,000 of year-to-date embedded derivative net charges, as well as 1.8 million in income tax expense in 2021 versus $44,000 of income tax expense in the prior year. The current year tax provision is a result of the reorganization activities of certain subsidiaries in the current year. General corporate adjusted EBITDA for the current quarter was -0.9 million compared to -1.2 million in the comparable quarter last year. General corporate adjusted EBITDA for the current year was -4.2 million, compared to -6.0 million in fiscal year 2020. The improvement comes as a result of significant progress on reducing corporate overhead and is driven by lower audit and other professional fees related to active vendor management and other efficiencies. Turning to our consolidated financial position at quarter end. During fiscal 2021, we made significant strides in simplifying our corporate structure and reducing our leverage. Our aggregate borrowings, including debt, convertible notes, and redeemable preferred stock decreased by approximately $47 million, while our networking capital improved by $24 million, as compared to the prior year. These improvements, combined with an undrawn line of credit at DME and $24 million in cash on hand, put us in an excellent position to execute on our strategies in fiscal 2022. This concludes my financial review of the quarter, and I will turn it back to Pete for closing remarks.
Peter Reed: Thanks, Brent. I will comment on a topic that many of you who have been following us know well. And that is, the extent to which our team and insiders are aligned with our shareholders in terms of their ownership in the company. Employees and directors, including funds under their management of Great Elm collectively own or manage approximately 30% of Great Elm 's outstanding shares. In closing, we exited fiscal 2021 in a much better position than we began. With that, we will turn the call over to the Operator to open for questions.
Operator:
Peter Reed: Thank you again for joining us today. We look forward to speaking to you again next quarter.